Operator: Good morning, and welcome to the Pool Corporation Third Quarter 2013 Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mark Joslin, Vice President and Chief Financial Officer. Please go ahead.
Mark W. Joslin: Thank you, Laura. Good morning, everyone, and welcome to our 2013 third quarter earnings call. I would like to remind our listeners that our discussion, comments and responses to questions today may include forward-looking statements, including management's outlook for 2013 and future periods. Actual results may differ materially from those discussed today. Information regarding the factors and variables that could cause actual results to differ materially from projected results is discussed in our 10-K. Now I'll turn the call over to our President and CEO, Manny Perez De La Mesa. Manny?
Manuel J. Perez De La Mesa: Thank you, Mark, and good morning to everyone on the call. After the slow start to 2013 reported last quarter, business was pretty normal in the third quarter as evidenced by our 9% increase in base business sales and 7% increase in gross profits. These increases are weighted to lower-margin percent, higher-margin dollar discretionary product sales with variable speed pumps, pool heaters and LED lighting all being prime examples and all of which increased by roughly twice the company's overall sales growth. On the other hand, sales of higher-margin percent, lower-margin dollar nondiscretionary items, like parts, consumer-sized chemicals and pool accessories, were up less than 1/2 the company's overall sales growth. The bottom line is that we realized the gross profit that we expected, but the customer and product mix was a bit different. This logic applies even more so to irrigation landscape products, given the greater weighing of discretionary spend. The sales by focus customer and product segments further illustrate this point with building material sales up 27% in the quarter, while retail product sales were up only 3% in the quarter. Needless to say, I am very pleased with how we have executed both in terms of embracing new opportunities in building materials, as well as battling back from the slow seasonal start. 2 weeks ago, we launched our 2014 season for our North America Blue business at our International Sales Conference with approximately 1,300 participants. The material covered included extensive training on new product sales opportunities, as well as how to continuously improve every facet of our execution. I am confident that our people are focused and better prepared to utilize all the tools and resources available to them than ever before. Over the past 20 years, we have captured a majority of the market share that we have, organically, given our investments in people, products, programs and technology. Turning to expenses. Overall, our base business expense to sales were down 73 bps in the quarter and 65 bps year-to-date as we continue to leverage our infrastructure while continuing to make investments. Including the opening of 9 new sales centers this year and 18 new centers over the past 2 years. While our year-to-date base business contribution margin is only 12%, this statistic has been affected by product customer mix and its impact on gross margin. Alternatively, our $15.5 million year-to-date increase in base business gross profit, base business operating income increased $10.3 million or 66% of the gross profit increase with expenses up only $5.2 million year-to-date or 1.7% versus last year. Two items of interest to many of you are our Green and European businesses. For context, our Green business will approach 10% of our total business this year with gradually improving results and operating income up $3.7 million year-to-date. Our European business represents 5% of our total business. Although in the third quarter, operating income in Europe was flat versus last year, it is still down $1.2 million in terms of operating income year-to-date, primarily due to the adverse weather impact felt similar to the seasonal markets of North America. Mark will provide additional financial commentary. But before closing my prepared remarks, I believe it's important to step back and appreciate what we've accomplished not only in 2013, but throughout the 20-year history of our company. From a disparate aggregation of local and regional distribution businesses, we have transformed our company into the industry's premier value-added distributor, while more than doubling our market share organically. Given the talent and commitment of our people, I am confident in our future.
Mark W. Joslin: All right. Areas that I will touch on include our SG&A costs, interest and taxes, our balance sheet, cash flow, debt and share repurchases. First, as noted in our press release, our SG&A cost grew at a higher rate in the quarter due to the impact of variable expenses from the higher revenue growth rate and due to the extra sales day in the quarter compared to last year. Our goal here for the year was to have modest year-over-year expense growth, well below the rate of sales and GP growth. And we remain on track to achieve that. Our year-to-date base business expense growth is under 2%, which meets our expectations for Q4 and the year. Moving on to the interest and tax lines. These were both favorably impacted by a tax reserve adjustment. Like most companies, we adjust our tax reserves and any related accrued interest when we file our federal return as we did in Q3. This resulted in a slightly lower tax rate and interest charge in the quarter than in previous quarters, both of which will revert to normal in Q4. For the year, we expect to report an effective tax rate of approximately 38.5%, which is a bit below normal due to the favorable adjustment we took back in the first quarter. Turning to our balance sheet and cash flow. Our major asset categories, receivables and inventories, are both in good shape in terms of quantity and quality of these assets with the balances here growing at about half the rate of our rate of revenue growth for the quarter. The year-over-year declines in our accounts payable and accrued expense balances reflect both the 2012 deferral of our federal tax payment in Q4 of 2012, as mentioned in our press release, as well as timing differences with last year on our vendor payments. These should largely normalize by year end. As mentioned on our previous calls, we expect our cash flow from operations for the year to be roughly in line with our annual net income. This is probably a good place to note the recent changes in our debt facilities, which took place in Q3. Our revolving credit facility, which had $430 million of capacity and a remaining 3-year term was upsized to $465 million and extended to a new 5-year term. We also simplified and reduced our pricing grid on this facility. Soon after completing this, we closed on an accounts receivable securitization facility, which as noted in our press release gives us between $80 million and $160 million of additional debt capacity at attractive pricing with the capacity fluctuations tied to our seasonal accounts receivable balances. But the impact of this is we now have more borrowing capacity and lower costs, which will serve our needs well in the years ahead. Before we begin our Q&A, I'll comment on our share repurchases. During the quarter, we repurchased 786,000 shares on the open market at an average price of $53.17 per share for a total use of cash of $41.8 million. We also repurchased 99,000 shares so far in October, which leaves us with $29.3 million available under our current board authorization. Year-to-date, we have repurchased 1,080,000 shares at an average price of $52.34 for a total use of cash of $56.5 million. That concludes my prepared remarks, so I'll turn the call back over to our operator, so we can begin our question-and-answer session. Laura?
Operator: [Operator Instructions] And our first question comes from Garik Shmois of Longbow Research.
Garik S. Shmois - Longbow Research LLC: Just first off, I was wondering if you can elaborate a little bit on the improving margin trends that you mentioned in the release. And just given the context that incrementals were lower than trend and absolute gross margins declined in the quarter, I was just wondering where you're seeing, in a little bit more detail, the improving margin trends in the business.
Manuel J. Perez De La Mesa: Well, in the release, we talked about the fact that gross margins were down year-on-year. And that's product mix is, by far, the biggest factor. And specifically, as I mentioned in my prepared remarks, a good bit of it, a significant share of it is due to the differences in terms of the fact that we are selling a lot more discretionary products and the fact that those rates of growth are more in the high-teens versus some of the nondiscretionary items that are higher margins that were very, very low growth this year. When we talked about -- in the first paragraph, when we talked about improving margin trends, we're talking about here, the fact that our selling margins are a little better. And that is something that's gradually improved during the year, given the fact that geographic mix was more a factor earlier in the year. And that's kind of abated as we went through the year. It's still a little bit of a factor in July but less so in August and September.
Garik S. Shmois - Longbow Research LLC: Okay. And I guess, just switching towards the mix with respect to discretionary versus nondiscretionary. You did have a bit of a catch-up in the quarter with respect to discretionary sales continuing to come back, and just wondering how sustainable you think the discretionary growth is, given the context of some of the macro data points that have shown some big-ticket discretionary items starting to ease a little bit here into the fourth quarter.
Manuel J. Perez De La Mesa: Sure. That's a great question. And I think that puts things in context. The product categories here we're talking about and we've anticipated for the last several years is, first, that recovery and pool refurbishment or remodeling will come back first. Typically, that could be done in pieces. We're talking about lower price points. And in fact, from the industry being down well north of 30% versus a normal behavior, we've seen that coming back gradually since 2011. This is the third year of that recovery. We, in fact, are still, from a consumer behavior standpoint in terms of existing pool owners, replacing equipment or are refurbishing or remodeling their pools. That behavior is still below normal behavior. And we don't anticipate that, that will be back to normal until about 2018. This year, our expectations are that, again we haven't finished the year, but it'll be roughly 25% below normal behavior. So the context there is that while the macroeconomic environment may have fits and starts and we're not smart enough to figure out exactly how it's going to come back every year, our expectation is it will come back gradually as it has for the last several years. The second element of discretionary spend is tied to new pool construction. And when you look at new pool construction, that rate is still down 70% from the peak rate of 2005, 2006. And it's come back a bit from the depths of 2009 but still very, very depressed by historical standards. We expect that, that will come back gradually. We believe that recovery will lag, the recovery of replacement and remodeling activity. And we don't expect that to get back to normalized levels, to levels that existed in the late '90s, until perhaps 2020 to 2022. So that's the context there. Having said all that, it is very reasonable to realize double-digit percent growth in discretionary spend dollars over the next 5 years as the recoveries take place. And that's, I think, a reasonable expectation. We have exceeded that, in part, given our growth being faster than the marketplace. And that logic in terms of growing faster than marketplace is not unique to discretionary items, that's across the board. But obviously, it is more readily visible in the equipment and building materials-like categories.
Garik S. Shmois - Longbow Research LLC: Okay. I guess, just lastly, just touching upon -- organic growth in the quarter was strong, as you did see some catch-up in Q3. Just wondering how you're viewing organic growth in the fourth quarter. I believe your prior guidance indicated somewhere around 5% to 7% organic growth in the back half of the year, a period that obviously is outsized in Q3. Should we think that the growth rates tend to come down in 4Q organically relative to your guidance back in line to that 5% to 7%? Or could we see some outperformance relative to the back half guidance in Q4, given what you're seeing in the market?
Manuel J. Perez De La Mesa: Two things, the comp was an easier comp in the third quarter. We also had an additional sales day in the third quarter. So I think the 5% to 7% for the fourth quarter is more reasonable.
Operator: And our next question will come from Ken Zener of KeyBanc Capital Markets.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: I wonder if the -- if you're able to perhaps break out some of the monthly sales trends that you saw and if there was anything there relative to these concerns that we've had around the consumer brought on by initially Fed tapering. And within those monthly sales trends, I mean, are you seeing the capital markets' or banks' willingness to lend or people take out loans to build a pool? Do you see any change in that credit market or that credit cycle?
Manuel J. Perez De La Mesa: First, with respect to by month, the daily sales rate by month on a daily sales rate basis was not significantly different July, August or September. We had plus 1 day, minus 1 day versus last year. So I adjusted to a daily sales rate basis and the growth rates were very similar all 3 months. With respect to consumer discretionary, what we have seen coming back, as I mentioned just a minute ago, is primarily weighted towards the lower dollar items. So for example, not the consumer putting in a $35,000 pool, but that has come back a little bit but not very much. The bigger factor is the existing pool owner that may have not replaced their heater a year ago or 2 years ago, now stepping up and replacing that heater, or that consumer instead of replacing their pump with a single-speed pump, replacing it with a variable-speed pump, realizing that they're going to get the energy efficiency and that will pay for the pump inside of 2 years in most cases. That's the behavioral switch that we have begun to see over the last several years and continuing through this year.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: Okay. And Mark, if you guys wouldn't mind just refreshing us how you talk at or think about your leverage ratios. Given that you've kind of given yourself some more liquidity here with the terms and the securitization, could you refresh us like kind of where you're going to target to be, obviously, or leverage ratios at the year end and what your long-term targets are, so we can understand the ongoing share repurchase program?
Mark W. Joslin: Sure. Yes. I mean, generally, we look to be somewhere in the 1.5 to 2 range on leverage, that's net debt-to-EBITDA. And given the seasonality, we do that on a trailing 12-month net debt basis. So that's our long-term target. We are a little light at this point and we'll end the year probably below the 1.5. But that's long term, with share repurchases, we expect to get back up into that range.
Operator: And our next question comes from Ryan Merkel of William Blair.
Ryan Merkel - William Blair & Company L.L.C., Research Division: So I want to start with gross margin. The impact of mix makes sense. I'm wondering what is the gross margin delta between discretionary products and the maintenance products.
Manuel J. Perez De La Mesa: Well, just to give you an example. Ryan, when we talk about variable-speed pumps, heaters and higher-end lighting products, our gross margins there all-in are less than 20%. When we talk about parts, consumer-sized chemicals and ancillary items, particularly low-dollar items, our gross margin percents are well into the 30s, high 30s, low 40s. So when we talk about the fact that, for example, just in heaters, pumps and lighting products, our sales in the quarter were north of $110 million, right? That's a big change when that's growing at close to 20%. And on the other hand, you have the other product categories growing 2%, 3%. That's a big spread.
Ryan Merkel - William Blair & Company L.L.C., Research Division: Got it. And then that delta, is that also true at the EBIT margin line as well? Or do you make a little bit better EBIT margin with some of those discretionary products?
Manuel J. Perez De La Mesa: That's a great question. The cost to serve is proportionately higher on lower-dollar items. Whether you're -- if you think of it simplistically, if you're pulling a box and you're invoicing a box and it's a $10 box, the cost to provide that service versus pulling a box that's a $1,000 box, right? Now the $1,000 box may weigh a little more, but it's still easily handled by one individual, right? The cost to serve is not significantly higher in absolute terms, but as a percentage of the item, significantly less than a $1,000 item. And that's essentially what happens and the marketplace factors that in, in terms of what the pricing is. So low-dollar items tend to have higher gross margin percents than higher-dollar items.
Ryan Merkel - William Blair & Company L.L.C., Research Division: Got it, it makes sense. Okay. So following the line of thinking here, was the maintenance products up in the quarter about 3%, 4%? Is that the right number?
Manuel J. Perez De La Mesa: Yes, 2%, 3%.
Ryan Merkel - William Blair & Company L.L.C., Research Division: 2%, 3%. And is the primary reason that this market is growing at kind of this low single-digit rate, is that because the installed base hasn't grown that much the last 5, 6 years? Or is there anything else?
Manuel J. Perez De La Mesa: First of all, it is driven entirely by the installed base. It is driven -- because those products were never deferred, maintenance and repair activity continued normal during the great recession. So for example, chemicals, part sales, ancillary items, accessories, all that grew, our sales in those product grew in '07, '08, '09 and certainly '10, and they've grown a little bit this year. The growth is the installed base is up perhaps 1% this year. And with very little inflation, the biggest factor in the fact that our growth is, call it, actually less than 3% in those product categories is the fact that although the market has grown 1% and inflation has been negligible, you would expect us to grow market share a little faster than 1% to 2% delta. But the season got off to a very late start. And in fact, even through July, it was cool in a number of markets. So therefore, there's still some seasonal impact, which is why our year-round markets grew at a faster rate than our seasonal markets. I think that's been part reflective of the fact that the seasonal markets didn't have a particularly good weather year. And you living in Chicago would probably have first-hand experience in that regard.
Ryan Merkel - William Blair & Company L.L.C., Research Division: That's right. Okay. So getting to the punch line of where I'm going with all this, incremental margins this year will be about 11%, 12%. We were looking for 20%. The 2 biggest drivers have been the negative weather you had in 2Q, also sounds like July was also not great. And then we've got this gross margin mix. So for next year to do 18%, you need to see the maintenance stuff grow more in line with the discretionary products and we need a more normal weather year. Is that essentially the outlook?
Manuel J. Perez De La Mesa: I would not stretch to the point of saying that maintenance products need to grow with the discretionary products because there is going to be a spread there. But it should be a lot more than less than 3%. It should be more in the 5%, 6% range.
Operator: And our next question will be from David Manthey of Robert W. Baird.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Along the same lines with the prior question, in terms of the contribution margin, you were guiding to 2014 at 15% to 20%. What was your assumption for gross margin there? Or Manny, you mentioned that, I think, you said that 5% or 6% growth in maintenance and repair would do it. But you also said that the discretionary, the new pools and the major refurbishment could grow double-digits for 5 to 7 years. So could you help us understand what your assumptions are under that 15% to 20% contribution margin?
Manuel J. Perez De La Mesa: Sure. Two parts, one is the weighting of our business is still heavily weighted towards maintenance and repair. So when we talk about 5%, 6% there and, call it, 10% to 12% on everything else, that probably averages out to closer to 7%, okay, in the overall number. And so that's item one. Item two is to make that happen, really the biggest variable outside of our control was the weather. And I hate to talk about weather, but that certainly affected the seasonal markets this year. The results are what they are. It's pretty, in fact, unique to us. So therefore, that is what it is. So therefore, with that, we get that lift. And the other side of the equation is again it's when you look at our expense, our basic expenses are up only 1.7%. And that's -- not to say that we're going to be at 1.7% if our sales and GP outlooks grow 7% next year. But certainly, we'll get significant lift in operating leverage that this year, we haven't gotten. When our gross profits are only up in the 4% range for the year base business, that's really the real hit that we've had.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Okay. So again, not to rely too much on weather, but what you're saying is, effectively, the low amount of maintenance and repair products, to some extent, might have been impacted by the weather, which also impacted the overall. And that led to the 11% or 12%. And under normal conditions with normal growth in maintenance and minor repair, you probably would have been closer to the 15% to 20% target range.
Manuel J. Perez De La Mesa: Clearly, yes, without a doubt. Because from an incremental cost to serve standpoint, we're primed for that basic maintenance and repair item. And the incremental cost would have been negligible had we had another, call it, $30 million to $40 million of those type product sales this year.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Okay. And just quickly on pricing, you mentioned that your gross margins were pretty much as expected across the board. Are you seeing any pricing pressure across any categories specifically? Or maybe if there's any with positive pricing, any outliers one way or the other at all?
Manuel J. Perez De La Mesa: Sure. Well, we always have pricing pressure but nothing extraordinary. Typically, the biggest churn there happens in the first quarter of the year as people are trying to position themselves for the season. But once the season starts, service level is what carries the day. So nothing unusual from a pricing pressure standpoint, again skirmishes in different markets but that happens every year. Again, the biggest factor here affecting us in terms of margin this year, jumps out -- is product mix, and then to a second degree, customer mix. And in the quarter, this quarter, a third would be geography. Geography was more of a hit in the first half of the year but kind of came down in importance. Still a factor, but it came down in importance in the third quarter. So product mix is still the biggest factor overall.
Operator: And our next question is from Jill Nelson of Johnson Rice.
Jill R. Caruthers - Johnson Rice & Company, L.L.C., Research Division: Just following up on the last question with pricing pressure. Could you talk about the Internet? I guess, it seems to have an immaterial impact so far on your business. But could you talk about some factors there and maybe the outlook for that?
Manuel J. Perez De La Mesa: Sure. There's an Internet retail segment in the industry, not unlike just about every industry. They compete primarily against storefront retail, again not unlike other industries. There is a little bit of an arbitrage play there, in that Internet retailers, given their volume, are able to capture what I'll refer to as Sun Belt pricing and sell that to Snowbelt consumers. So they have a little bit of an advantage there versus a Snowbelt storefront. They also have the benefit of taxes that in most cases are not collected on behalf of the state governments. So they have gradually, every year grown at a rate a bit faster -- this is for the past 15 years that I've been in the industry, grown at a rate a bit faster than the overall industry growth. And that is no different this year. In context, that sector of the overall industry is relatively small. The product segment that they have affected the most is equipment. But their play in terms of chemical products, accessories, parts, products like that, the impact has been pretty negligible because of the nature of the products and how they're sold and how they're shipped and everything else and the bulky nature of many of those products. So really the impact has been mainly on equipment. And so overall, that is there, but that has not really been a significant factor in our margins. The ones that have felt a little bit more -- well, have felt more pressure have been storefront retail. And again, part is arbitrage between Sun Belt and Snowbelt and part of that is the fact that many of the Internet retailers are not collecting sales taxes like the storefront retailers have to do.
Jill R. Caruthers - Johnson Rice & Company, L.L.C., Research Division: Okay. And then a quick follow-up on the building materials. I mean, the strength year-to-date on the sell side of that category has been very strong. Could you talk about maybe some factors that you're doing internally to drive that category just beyond the industry strength and recovery of the remodel business?
Manuel J. Perez De La Mesa: Sure. Thank you for asking the question because that's really one of our major successes. Building materials, by the way, is not a factor on margin. Our overall margin in building materials is very similar to the company average. So that's not a factor on margin. But it is reflective of what's happening in that marketplace. And the fact that our building materials growth is far greater than even the growth of equipment with heaters and things of that nature is, I think, reflective of the gains in market share that we have been able to realize. There's a lot of work that goes into it, everything from a product management standpoint, determining what's best for the marketplace, then going throughout the world to identify and source those products, bringing them efficiently to our local centers, and then our execution to work with our customers to help them sell that in the marketplace. We again have been very successful. It's an investment on our part because we believe that we have a unique opportunity here to add value and as well as broaden our customer base. So add value to existing customers by enabling them to sell more complete outdoor lifestyle experience in the marketplace, as well as work with tangential contractors in other sectors that are also working in the outside of a home and providing them products to sell there. So again, great success, a lot of work, the product menu continues to grow. At our International Sales Conference, a good bit of our training of our people was on those product categories and some of the salient opportunities we have to build our presence in the marketplace. So again, very successful this year and, in part, the market, but it's primarily us. And the team that we have at every level, we're going to make that happen.
Operator: Our next question will come from Anthony Lebiedzinski of Sidoti & Company.
Anthony C. Lebiedzinski - Sidoti & Company, LLC: Just a follow-up on the previous question. So when you look at building materials, can you just remind us what percentage of your total sales that is right now?
Manuel J. Perez De La Mesa: That's a good question, hold on 1 second.
Mark W. Joslin: Do you have another question, Anthony, you want to...
Anthony C. Lebiedzinski - Sidoti & Company, LLC: Sure. So as far as the number of sales centers, I think you mentioned that you opened 9 in 2013. What is your outlook for 2014? And are most of those sales center openings taking place as a result of your hub-and-spoke strategy to open more sales centers in kind of surrounding areas to service your customers better?
Manuel J. Perez De La Mesa: Okay. Before I forget, Anthony, to answer the first question, it represents about 10% of our total business to date. In terms of sales centers, we are in the process of evaluating those now. I've already approved several for next year. And probably we'll finish with between 5 and 7 new openings for '13 -- for '14, I'm sorry, on top of the 9 we opened this year and the 9 we opened the prior year. The lion's share of all those are, yes, in fact, part of our hub-and-spoke where we are -- for those on the call that may not be aware of it, what happens here is when we reach capacity in existing locations, and this is especially the case in the year-round markets where there's a much higher pool density and where there's -- because of that higher pool density, there's a much greater specialization on the part of our customer base. So there are a number of customers that either do just strictly maintenance or strictly repair. And therefore, for them, since essentially they're selling their labor, the convenience of our locations is key or wherever they're buying, convenience is key. So in those cases, when we reach capacity at existing locations, as leases come up, we evaluate whether to open in adjacent areas and we look at what the incremental market share gains will be by providing that heightened level of service by having those more convenient locations. And to that end, as we evaluate those, we make those decisions and make that investment. Year 1, there is a negligible benefit because we just long to recover the incremental overhead that we've invested in terms of expense. But as we grow share over time, then that should -- and GP dollars, then we begin to leverage our overhead investment, then get a little bit of incremental benefit in years 2. And then by year 3 and 4, we should be more in line with normal. That's the game plan. And yes, it is primarily geared towards more of a hub-and-spoke in those year-round markets.
Anthony C. Lebiedzinski - Sidoti & Company, LLC: Got it. And also what is your outlook for acquisitions? You've done some minor acquisitions here recently. So as you look towards 2014 and beyond, should we expect some tuck-in acquisitions to continue?
Manuel J. Perez De La Mesa: Yes. We're always in dialogue. Our bias there is in markets where we have little to no share. So that would be weighted more towards the Green business, first. And that's really the overriding bias is the Green business. There are a select few opportunities on the Blue side of our business, both domestically and internationally. But the bias in terms of building our network going forward, if we do it with acquisitions, would be on the Green business.
Operator: [Operator Instructions] And our next question is from Brent Rakers of Wunderlich Securities.
Brent D. Rakers - Wunderlich Securities Inc., Research Division: I guess, to follow up on an earlier question about the new branches. I believe you've got about 11 new openings year-over-year. Could you maybe talk about -- I know you talked about the profit margin profile of that and when the profitability turns. But could you also talk about how the additional incremental cost runs through, roughly how much per branch? And then also if you could maybe comment on what the year-over-year change in headcount may have been.
Manuel J. Perez De La Mesa: Sure. First, typically the base level of investment of a new location is the facility itself plus one professional staff. Well, in just about all cases, there is some transfer of business from another nearby location just from a sheer convenience. And with that, there is some transfer of headcount. So for example, if we open a satellite location B half an hour from base location A, we may transfer one guy in the warehouse, one guy inside sales. That's a transfer of headcount plus one professional, that would be the satellite manager, satellite location manager. So basically, the cost profile typically runs where we're adding $300,000 or $400,000 of incremental expense to the company. And generally speaking, we're looking for a little bit north of incremental $1 million-plus in sales to break even the first year. And then the logic, of course, is that's not where it stops. The logic is that our incremental sales growth would be at a rate faster than it would have been from just having location A. So as that, in aggregate, we capture a greater share of the market. And when you step back and you look at how we've grown over time and the fact that you go back to the acquired market share historically to our share today, and that's well more -- far more than doubled from what we acquired. In some markets, we've quintupled what we acquired. We may have acquired a 10% share of market and now have 50%, but that growth of 40% share organically over the course of time had been certainly realized through execution, utilizing all our resources and everything else. But in some of our markets, that's also come about from our opening up satellites to better serve the marketplace.
Brent D. Rakers - Wunderlich Securities Inc., Research Division: Great. And if, I guess, the headcount year-over-year, and then I also had a gross margin question as well.
Manuel J. Perez De La Mesa: Sure. In terms of overall headcount, it's up about 2% year-on-year.
Brent D. Rakers - Wunderlich Securities Inc., Research Division: Okay, great. And then I guess, just extending the gross margin discussion. When you go back historically, Manny, I think between, let's say, 2004 and 2008, when I guess discretionary products were at a significantly higher level than they are currently relative to the overall business, the gross margins were in that 28% to 28.5% or so range. This year, I think we're going to end up pretty close to the top end of that range despite a much more favorable mix, I would say. Could you maybe differentiate the situation now versus what it was back in the middle part of the last decade and why those gross margins today aren't significantly higher because of a better mix?
Manuel J. Perez De La Mesa: The one difference is that during part of that timeframe, we owned a manufacturing business, that the lion's share of our sales were internal. So therefore, because of that, we basically captured the double profit. And that was a factor that contributed to the overall. So that's one consideration. That plays in just part of that time period that you referenced. When you look at 2007, 2008 to date, essentially our margins are essentially flat. And you are right. I think also part of that is also our geographic weighting. When you look at our business, our growth has been more weighted towards the Sun Belt over that period of time and therefore, that's where we have, on average, lower margins, given the nature of the year-round markets having, on average, lower cost as a percentage of sales than seasonal markets, given the logical seasonality and the impact on inhibiting the ability to take full advantage of efficiencies, like the year-round markets can.
Brent D. Rakers - Wunderlich Securities Inc., Research Division: And Manny, I guess, my last, my follow-on question to that, as you go out, let's say, 5 to 10 years and you get the full cyclical recovery both in the new construction and also with the repair and maintenance side of the business, I mean, where would you see the evolution of gross margins going once you restore 150,000 to 200,000 pools a year and once you get that retrofit business back to a normal curve?
Manuel J. Perez De La Mesa: Certainly, on a go-forward basis over the next 5, 7 years, given the growth rate of discretionary spend being greater than the growth rate of nondiscretionary, there's going to be a little bit of a headwind. Having said that, we have opportunities in terms of how we position our products, how we execute on sourcing, how we execute on purchasing and how we execute on sales, particularly the ongoing evolution towards our own branded products, that should mitigate a good bit of that. Is it going to mitigate it every single year? No, in fact, some years we'll -- maybe we could very well have a down year in margin, like not to the extent we've had this year. This year is really bad from our context because of the impact of seasonality and everything else. But taking -- putting normal weather in the equation, just mix by market and things of that nature, we could be a little bit down some years, a little bit up some years. But overall, I think given our initiative internally, we should be able to sustain the levels that we're at today.
Operator: And this does conclude our question-and-answer session. I would like to turn the conference back over to Manny Perez De La Mesa for any closing remarks.
Manuel J. Perez De La Mesa: Thank you, Laura, and thank you, all, again for listening to our third quarter results conference call. Our next call will be on February 13, 2014, when we will discuss our full year 2013 results and, at that time, provide our initial guidance for '14. Thank you, and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.